Operator: Ladies and gentlemen, thank you for your patience in holding. We now have your presenters in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of today's presentation, we will open the floor for questions. At that time, instructions will be given as to the procedure to follow if you would like to ask a question. It is now my pleasure to introduce today's first presenter, Mr. Paul Alexander.
Paul Alexander: Thank you and good morning, everyone. Welcome to Kimberly-Clark's First Quarter Earnings Conference Call. With us today are Mike Hsu, our Chief Executive Officer; and Maria Henry, our CFO. Here’s the agenda for our call. Maria will start with a review of first quarter results. After that, Mike will provide his perspectives on our results and the outlook for the full year. We'll finish as usual with Q&A. We have a presentation of today’s materials in the Investors section of our Web site. As a reminder, we will be making forward-looking statements today. Please see the Risk Factors section of our latest Annual Report on Form 10-K for further discussion of forward-looking statements. Finally, we'll be referring to adjusted results and outlook; both exclude certain items described in this morning's news release. That release has further information about these adjustments and reconciliations to comparable GAAP financial measures. And now, I'll turn the call over to Maria.
Maria Henry: Thanks, Paul, and good morning, everyone. Thanks for joining the call. Let me start with the headlines for the quarter. Organic sales increased 3% driven by higher net selling prices. Adjusted operating profit and earnings per share were down low-single digits year-on-year. That said, we made solid progress with our margins compared to full year 2018 performance. Additionally, we’re on track with our overall capital plan and we continue to return cash to shareholders. Now let’s cover the details of our results starting with sales. Our first quarter net sales were $4.6 billion. That’s down 2% year-on-year with a 5 point drag from currency rates. Organic sales were up 3% which is a good start relative to our full-year target for 2% growth. Net selling prices increased 4% and product mix improved 1% while volumes fell 2%. Mike will provide more color on our top line in just a few minutes. Moving on to profitability. First quarter adjusted gross margin was 33.5%, down 30 basis points year-on-year. First quarter adjusted operating margin was 17.4%, even with the year ago. I’m encouraged that gross and operating margins were up 30 and 40 basis points, respectively, compared to full year 2018 levels. Commodities were a year-on-year drag of $135 million in the quarter. While that is still a meaningful amount, I was pleased to see market prices in North America for pulp, recycled fiber, and polymer fall a bit sequentially. Foreign currencies were also a headwind reducing operating profit by a low double-digit rate. Our focus on achieving higher net selling prices offset much of the commodity and currency headwinds we faced in the quarter. We also generated solid cost savings of $115 million. That includes $55 million of FORCE savings which was consistent with our plan, and $60 million of restructuring savings. On that, we continue to make good progress with our restructuring program. So far this year, we’ve announced the planned closure of two personal care facilities outside North America. We’ve now announced 6 of the approximate 10 facilities that we intend to close or sell. Advertising spending was up in the quarter as we continue to support our brand. Even with that investment, total between-the-line spending was down 50 basis points to 16% of sales. The reduction was driven by our restructuring savings. Compared to the first quarter, I expect between-the-lines spending as a percent of sales to move up a bit for the full year. So all-in-all, adjusted operating profit was down 2%. On the bottom line, adjusted earnings per share were $1.66, down 3% year-on-year. That included an approximate 2% drag from a higher tax rate essentially offset by a lower share count. Let’s turn to cash flow and capital efficiency. Cash provided by operations in the quarter was $317 million compared to $542 million in the year-ago quarter. The decrease was generally in line with our expectations and driven by higher working capital and restructuring payments. Capital spending was $316 million in the quarter. As expected, that’s up from $189 million in the year-ago period and is driven by supply chain restructuring projects. We continue to allocate capital in shareholder friendly ways. First quarter dividends and share repurchases totaled $510 million, and we continue to expect the full year amount will be between $2 billion and $2.3 billion. Turning to our segments. In Personal Care, organic sales were up 5%. Net selling prices increased 2%, and volumes and product mix were each up more than a point. Personal Care operating margins were 21.3%, up 90 basis points year-on-year. The improvement was driven by organic sales growth and cost savings. In Consumer Tissue, organic sales were even with the year-ago period. Net selling prices increased 6% which was offset by lower volume. Consumer Tissue operating margins of 15.8% were even year-on-year. In K-C Professional, organic sales grew 3%. Selling prices rose 3% while a 1-point improvement in mix was offset by lower volumes. K-C Professional operating margins of 18.4% were down 60 basis points. Results were impacted by commodity inflation and currency headwinds, partially offset by higher pricing and cost savings. So all-in-all, we’re off to a solid start relative to our full year plan, and I’m encouraged by our progress. I’ll now turn the call over to Mike for his perspective on our results and outlook.
Michael Hsu: Thanks, Maria. Good morning, everyone. I’m going to focus my comments on organic sales and our full year outlook and let me start by saying I’m encouraged by our first quarter results. We’re making strong progress realizing higher selling prices. We’re launching innovations, investing in our brands and pursuing our growth priorities and we’re leveraging our strong financial discipline. As Maria just mentioned, we grew organic sales 3% in the first quarter which is a good start to the year. Overall, our pricing initiatives are on track and to date the impact on our volumes has been reasonable. Let me share some of the top line highlights for the quarter, starting with developed markets. Organic sales increased 1% in North American consumer products. In North American Personal Care, organic sales grew 3%. Volumes increased high-single digits in adult care with benefits from innovations, increased brand investment, and category growth. Volumes were up low-single digits across our baby and child care portfolio. In the first quarter, we increased selling prices on Pull-Ups training pants and premium Huggies diapers. Looking ahead, we have innovation on Poise pads coming this quarter and premium innovation on Huggies diapers that are going to hit the market this summer. In North American Consumer Tissue, organic sales were down 2% compared to a 5% increase last year that was driven by strong promotion activity. Net selling prices rose 7%. Our pricing plans are overall on track. We’ll continue to monitor the impact on our volumes and competitive activity, but we remain focused and confident on realizing the benefits of the price increases. In North American K-C Professional, organic sales increased 1% driven by solid price realization. Turning to developed markets outside North America, organic sales were up 1%. In South Korea, while our diaper business continues to be impacted by a lower birth rate, our other businesses are growing and offsetting that diaper category’s softness. We also had solid performance in Western and Central Europe in K-C Professional. In developing and emerging markets, organic sales rose 7% overall and that included nearly 3 points of growth from Argentina, which is consistent with our 2019 plan. In terms of our key Personal Care businesses, in Brazil, organic sales rose about 15% compared to a mid-single-digit increase in the base period. Growth was driven by higher selling prices while category volume remained sluggish. In China, organic sales were down high-single digits. Huggies diapers continues to be impacted by competitor price reductions that started last year. Nonetheless, volumes on our premium-tier Huggies were up driven by strong product innovation. In feminine care, we continue to grow at double-digit rates driven by our innovation, trade-up strategies and supported by strong digital marketing. In ASEAN, organic sales rose about 10% with the strength on Huggies diapers in Vietnam. We’re rolling out improved Huggies in most ASEAN markets this year. In Eastern Europe, organic sales increased about 20% with volumes and selling prices both up nicely. Our momentum in this region reflects the combination of excellent sales execution, winning product innovation backed by great marketing. We’re launching further innovations on Huggies and Kotex this year. While diapers remain our biggest business in D&E, I’m pleased that in the first quarter we grew organic sales double digits in fem care, adult care and baby wipes. These businesses have strong growth opportunity and we’re making progress. Now in terms of digital marketing, we’re using digital on many of our brands to help us build one-to-one consumer relationships. Digital is improving our marketing ROI and helping us grow in markets like fem care in China and South Korea, diapers in Vietnam and adult care in North America. To summarize our top line, I’m optimistic about our start to the year. We have more work to do and we continue to operate in a competitive environment. However, that said, I’m encouraged with our progress thus far. Now moving beyond sales, I’ll just build briefly on Maria’s comments about margins. While we need to make more progress, I’m encouraged that first quarter performance was above our full year 2018 levels. Turning to the outlook. As we mentioned in this morning’s new release, we’re confirming our previous outlook for 2019 which calls for 2% organic sales growth and adjusted earnings per share of $6.50 to $6.70. We’re also maintaining the key planning assumptions we outlined in January. Our first quarter results has improved our earnings profile somewhat compared to our initial view of the year. That said, we still believe it’s more likely the earnings are going to be somewhat higher in the second half of the year compared to the first half. Our teams have a lot to execute over the next nine months and we’re going to continue to closely watch the overall environment. While we work to achieve our 2019 targets, we’ll continue to pursue the longer-term balanced and sustainable growth opportunities that are all part of our K-C Strategy 2022. So in summary, we’re off to a solid start for the year, we’re confirming our full year outlook and we’re confident in our ability to create shareholder value. That concludes our prepared remarks. And now we’d be happy to take your questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from Jason English with Goldman Sachs.
Michael Hsu: Hi, Jason.
Unidentified Analyst: Hi. This is actually Cody [ph] on for Jason today. How are you guys?
Michael Hsu: Hi, Cody. Good morning.
Unidentified Analyst: Can you provide us an update on your commodity outlook? Previously you stated 300 million to 400 million of inflation. Does that still hold? And can you also provide details by each commodity like you did last quarter?
Maria Henry: Sure. Cody, it’s Maria. On commodities, we had $135 million of headwinds in the quarter driven by pulp and other materials. That was slightly better than our expectations for the quarter with some relief on resin-based materials and recycled fibers. Distribution also remains inflationary in the quarter. We are holding our outlook at this point to $300 million to $400 million of inflation for the year. It’s early in the year. We’re just through the first quarter and while we’re encouraged by the North America market prices that have started to come down sequentially in areas like polymer, resin, eucalyptus, and recycled, it remains volatile and we’ll have to see how this plays out. And as we think about the P&L impact of the commodity changes, we have to think about commodity inflation in relationship to price when we look at the P&L holistically. If I cover them kind of piece by piece, if we look at fiber with eucalyptus, it was down 1% year-on-year and down 4% sequentially. And we’re maintaining our outlook on eucalyptus for the year of 11.25 to 11.75 per metric ton for the full year average. On NBSK, we were up low teens year-on-year and we were down low-single digits sequentially. And when I’m quoting these, I’m quoting the market prices in North America for these commodities. And then on fluff, we were up or the market was up high-single digits year-on-year and down low-single digits sequentially. And on recycled fiber, those prices remained elevated. North America market was up more than 20%. However, it has fallen sequentially. It was down about 10% on recycled. In terms of the oil-based commodities that we have on polymer, the first quarter average price was down mid-teens versus a year ago. We’re expecting a modest increase in price in the back half of the year for polymer, so we’ll have to see what happens there. On super absorbent, we were or the market was up high-single digits versus year ago and relatively flat on a sequential basis. And finally, I’ll point out that outside of North America, inflation continues to run at moderate levels particularly coming out of Latin America. So, we’re seeing some easing for the North America market prices. We still got inflation when you look at it outside of U.S. It’s a very long answer. Hopefully that covers all the details you were looking for on what we think about what the markets are doing.
Unidentified Analyst: Yes, that’s very helpful. If I can sneak in one more question related to your commodity costs. Your initial FY '19 outlook assumed 400 million to 450 million cost savings with about 300 million to 325 million in FORCE. Does that still hold today? I assume it does based on your reiterated outlook. But if inflation proves to be less onerous than you initially thought, how should we think about your potential savings for FY '19 as the year progresses? Do you still expect to deliver at least 400 million in savings? Thank you and I’ll pass it on.
Maria Henry: Yes, we do expect to continue to hold – to continue to deliver savings and we are holding our estimate in terms of the savings outlook for the year. I think that as you watch commodities and commodity inflation, the three to watch together are what’s happening with currencies, commodities, and price when you think about the P&L, but the cost savings estimate remains unchanged.
Unidentified Analyst: And I just want to make sure that’s unchanged even if commodities do roll over in greater force than we thought.
Maria Henry: Yes.
Unidentified Analyst: Got it. Thank you very much.
Maria Henry: Sure.
Operator: Thank you. Our next question comes from Lauren Lieberman with Barclays.
Lauren Lieberman: Great. Thanks. Good morning. I want to talk to something, actually a little bit bigger picture was around innovation and news flow in the Personal Care categories, particularly in the U.S. I know Mike you mentioned that you’ve got innovation coming on Poise this quarter and something on Huggies over this summer. But I was just – I feel like the pace of activity in these categories has dramatically stepped up both from largest competitor, from Procter, but even from retailers and also all the upstart brands that seem to be gaining some traction. So could you just talk a little bit about how you’re thinking about the right level of news flow and activity, your interest in kind of smaller brands in sort of natural organic, and any detail that you can offer on the Huggies innovation this summer would really be helpful? Thanks.
Michael Hsu: Okay. Thanks, Lauren. Maybe I’ll start with the last one. I probably – I’m not ready to share details on the launch this year. I will tell you it’s a premium Huggies diaper and that’s kind of the general space, and it’s consistent with our overall strategy in Personal Care overall but especially in diapers which is we think there are opportunities for us to deliver improved benefits, especially on the dimensions of comfort, fit, protection, and all the things that you would expect. I think in terms of – the overall strategy really does highlight the need for more impactful innovation and we are ramping up our efforts. And I know we just kicked off our K-C Strategy 2022 approach with our team earlier this last quarter, rolled that out with our top executives, and then we’re now deploying regional teams and cross-functional teams around the world to kind of get after it. I would tell you though that while we’re just launching it now, we’ve been kind of working it for probably the past year or so, and so some of the things that you’re seeing in market like some of the product launches or the launch we’re talking about in North America this summer are a product of some of the teams working over the past year to accelerate some of this opportunity. So overall, a big opportunity on innovation. I think with your question on natural and organic, it is – I’d say North America right now it’s still probably a niche opportunity or a smaller one to two, three share type opportunity and something that we’re going to continue to look at. I think the question around small brands and big markets like North America is a really relevant question because we still keep tabs – Maria and I still keep tabs on the food side and we know what some of the smaller brands have done there. And so I think for us there is a question about whether there’s an opportunity for us there and there may be. But we’re not ready to share details on that yet. We are doing a pretty good job on pursuing natural organic in our Korean business which that’s a market where I think is one of the most sensitive about chemicals and contaminants of any market in the world and we’ve gotten a number of brands and they’re doing very, very well and more than just a couple share points.
Lauren Lieberman: Mike, is there a reason why you wouldn’t have already done a sort of lift and shift them with some of the things you’re pointing out with Korea, South Korea having long been a lead market for you guys in terms of innovation, in terms of market share to move quicker with taking kind of what’s working there with a very, very discerning group of consumers and moving quicker to bring it to other markets to bring it to the U.S., for example?
Michael Hsu: Yes, great question. Definitely and I think that’s the focus going forward was – I like your term faster lift and shift or we’ll say adopt and apply, but that’s part of it. And I think you will see some of that natural product flow into the U.S. perhaps in fem care later this – at some point. And then also I think this diaper that we – that I talked about that’s coming out this summer in North America really is a joint Asia-Pac North America development and a feature kind of the new way we’re trying to work which is more collaboratively around the world.
Lauren Lieberman: Have you started to sell that into retail yet, because also it’s funny to see, right, there’s news flow from Target, there’s Walmart with Hello Bello, right. There’s just – the retailer – even Target today with not so much in diapers but I think it went into paper products, this new product launch that they’ve announced today. They seem to be charting their own course in what may well be a niche opportunity, maybe it’s big but just curious of those conversations, how much they want to sort of go their own way versus opening up shelf space for you guys to be bringing some of this news flow in maybe a little bit again behind where they’ve been themselves?
Michael Hsu: Yes, so on your first point we haven’t started selling this product in yet with customers which is why I’m not sharing that many details on it right now. I will tell you though we do have the collaborative discussions with most of our major retailers or all of our major retailers and they’re still very receptive to big brands and big innovation. They are pursuing some other opportunities. But I think we’ll work with them as partners kind of leading these categories.
Lauren Lieberman: Okay. I’ll pass it on and come back if I’ve got the time. Thank you.
Michael Hsu: Thanks, Lauren.
Operator: Thank you. Our next question comes from Nik Modi with RBC.
Michael Hsu: Hi, Nik.
Operator: One second, it looks like his line dropped. Give me just a moment.
Nik Modi: Hello.
Operator: All right. Nik, you’re line’s open.
Michael Hsu: Hi, Nik.
Nik Modi: Okay. Thank you. Hi. How are you? Sorry about that. I guess there was a nice over delivery at least relative to consensus this quarter and Mike I guess it’s a philosophical question as you think about your first year as CEO and when you think about the priorities, clearly given the level of disruption in the marketplace just generally across the CPG landscape, there’s all this stuff to spend money on, right, capabilities, innovation, et cetera, et cetera. So I’m just curious like on your thoughts on how you think about the goals for the year in terms of, hey, we can hit the high end of guidance, make commodity costs coming down or hey, look, there’s a lot to spend. This is the first year. Let’s go get it. I just was hoping you can give some guidance around how you think about that.
Michael Hsu: Well, I guess maybe my near-term focus is on delivering the midterm objectives we outlined in January, right. And I do think maybe – and this is maybe the company culture which is we want to deliver consistent, predictable and positive earnings growth and sales growth. So I think this quarter was a solid quarter for us and we’re encouraged by it, especially encouraged by the price realization and the margin improvement, but it’s a step along the way. I will point out, Nik, though I think a couple of bright spots for us on the quarter were we saw broad improvement across a broad range of markets all improving; the U.S., Brazil, Central/Eastern Europe, ASEAN, UK, Western Europe, India. So I think we got a lot of markets heading in the right direction, so that’s a good thing. And then obviously with the pricing being on track, that’s obviously helping the shape of our P&L.
Nik Modi: Great. Thank you.
Operator: Thank you. Our next question comes from Ali Dibadj with Bernstein.
Ali Dibadj: Hi, guys. So I have two questions on top line and then one on free cash flow. First from a Personal Care top line perspective, if you think about PCNA and then the Personal Care outside North America, so the developed markets together, it looks like the price mix flattish for NA and then down 3 for outside North America developed markets, so it’s negative on average. Volumes were good so I’m not denying that and that’s excellent. But I just was scratching my head a little bit in terms of price mix element there given what’s happened to commodities obviously going up, given that you’re spending on advertising, given that we hear everything about the competitive situation being more benign yet unable to take price in the Personal Care area in developed markets, but just wanted your perspective on that. Is that diagnostic fair, maybe comment about market share along the way? It just struck me as why not take more pricing in that area in particular?
Michael Hsu: Yes, probably Ali the biggest thing is maybe a bit of a lag on Personal Care in North America, that’s probably the biggest mover and driver that we have which is we’re doing most of our pricing on diapers through a pack count change and that started rolling through at the end of the first quarter and it’s still rolling through now. And so we had a big rollover. It took a little time for us to get that lined up and so that’s probably why you’re not seeing as much price now. But that we expect will continue to improve as the year goes on.
Paul Alexander: And Ali, this is Paul and in developed markets outside North America, broadly speaking I’d say there hasn’t been a lot of pricing in the marketplace in Personal Care so this is Western and Central Europe, Australia and South Korea. The price declined in Q1, came primarily in South Korea where given the decline in the birth rate, there has been a bit of a pickup in everyone competing to pursue growth in a pie that’s getting a little bit smaller over time. In terms of shares, you asked about in North America across diapers and pants combined or the mega category, if you will, our shares on an outlook basis are even year-on-year and that might be a little bit better than you’re seeing in the tracked data because we continue to do strong in non-measured channels, including club and e-commerce.
Ali Dibadj: Okay, that’s helpful. Thank you. And then on Consumer Tissue both North America and developed markets, almost the opposite question, right, where you’re seeing very significant pricing, I get it because of the commodity costs but the elasticity looks a little bit tougher particularly North America, so the downtown and CT as we call it ONA or outside North America down about 3. Can you talk a little bit about how that’s going to continue throughout the year? Is that kind of the right balance or do you think they’ll be a better balance going forward?
Michael Hsu: Yes, I think maybe the first point is that with regard to Q1 we are cycling a pretty big set of events that we had in the plans last year. For reference I think our volume was up almost 10% in Tissue in North America first quarter last year and overall organic was up I think over 5%. And so we are cycling that. We took those promotions out of the plan this year. So it’s not that it’s a timing difference, it’s just out of the plan. And so I think the Q1 this year therefore in that effect, I would say right now the elasticity effect is probably as we predicted. We had a separate promo change that is as predicted and so overall we’re on. I think the one thing for us to watch out is overall I think the pricing is on track and the volume is in line with our expectations to date. The one thing we are keeping our eye on is I think some of the other private labels or some of the smaller brands have not – we haven’t seen the price move up yet and so it’s a little sticky on the upswing, so we’re keeping our eye on that. We’ll be ready to adjust our plans as necessary to make sure that we protect our share long term.
Ali Dibadj: Okay. And just my last question on the free cash flow point, you said in expectations that working capital was up. But I want to get a better sense of your free cash flow conversion here. It looked a little bit tougher what we should expect going forward for the year and kind of what’s going to make that change? Thank you.
Maria Henry: Sure. On cash flow, it was down year-on-year for the first quarter. It was in line with what we expected. We had higher working capital and we had an increase in restructuring cash payments. In working capital that’s really the big driver when you look at the numbers in the first quarter and there were a number of factors that went into that. On the payable side we had a stronger than expected finish to 2018 and those entire payables got paid out in the first quarter. On the receivable side we had a number of factors including the timing of the sales and also the higher level of sales and we ended the quarter on a Sunday, so we lose two days on collections which causes a run up in that balance. And then finally on inventories, as we expected, as we get into the supply chain portion of the restructuring program there are inventory build in advance of moving equipment or basically taking equipment offline. So we expected that to happen and we saw all of those factors play out in the first quarter. And for the year as we said in January we would expect cash from operations to be down slightly year-on-year.
Ali Dibadj: Okay. Thanks very much, guys.
Maria Henry: Sure.
Operator: Thank you. Our next question comes from Bonnie Herzog with Wells Fargo.
Bonnie Herzog: All right. Thank you. Good morning. I had a question on your full year organic sales growth guidance of 2% which actually implies a bit of a deceleration on the top line through the balance of the year but your comps do get easier in the next couple of quarters. So I guess I want to understand if we should interpret your guidance as maybe conservative or if there’s something else that we should be aware of that could cause growth to moderate? And then I’m just thinking about this in the context of you guys maybe lapping some of the higher promos you had last year.
Michael Hsu: Bonnie, maybe I’ll start and maybe Maria can chime in. But we’re making solid progress but we still have plenty of work to do to make sure that we have a strong 2019. So while we’re encouraged with the start there’s a lot we have ahead of us. I just said to Nik we have broad improvement across a lot of markets, we’re still in the early days of price and as I mentioned to Ali just now we are watching elasticity and alignment effects are kind of in line with our expectations, maybe even actually slightly better in D&E especially. The thing that we are watching now is competitive pricing, it does seem to be a little sticky on the way up and so we’re keeping our eye on that. So I wouldn’t know – I think we’re calling it down the middle which is what we believe and 2% for us is a reasonable number. We’ve got nine months to go. There’s a lot of work ahead for all of our teams.
Bonnie Herzog: Okay. And then if I could I just wanted to circle back on innovation with a couple of quick questions. First, your full innovation pipeline this year, would you characterize it as more back half weighted or do you think pretty evenly spread throughout the year as you roll out new products? And then second, curious how margin accretive some of the new innovation is and was that possibly a key driver behind the sequential improvement you saw in your margins during the quarter? And then what could we expect in the future? Thanks.
Michael Hsu: Yes, I think maybe a touch tilted to the back half but I would say overall fairly balanced, although I think the impact that we’re getting now is still from some of the benefits in innovation we launched last year. So we have an uptick, for example, in North American adult care where I think we’re up high single digits in the quarter organically. That was on the backs of innovation that we launched last year with this discrete sizing which has taken a little while to get traction in the marketplace but it’s getting that traction now. So I think we have a pretty robust innovation plan. It’s balanced across quarters. In terms of the accretiveness, I don’t have the exact number but I think the strategy is to elevate our categories where that means premiumizing our categories by making it worth it, so with premium innovation in general we’re aiming to move to a higher price point hopefully accretive.
Paul Alexander: And I think Bonnie that bares out if you look at the sales changes in the quarter, mix was up as a company one point and it was up essentially between half a point and a point in all three segments. So to Mike’s strategy comment I think we’re making good early progress.
Bonnie Herzog: All right. Thank you.
Operator: Thank you. Our next question comes from Olivia Tong with Bank of America.
Olivia Tong: Great. Thanks. Good morning. I want to talk a little bit about marketing spend. You talked a lot about that last quarter and when we met in February and obviously you mentioned that it was up this quarter. So can you discuss some of the things that you did this quarter whether it’s tradition or digital, where is the lion share of the dollar spend going and then just a little bit of order of magnitude of the increase and from this point forward are you expecting it? Was Q1 sort of a high watermark and then it sort of normalizes from here or is it just a start and we should actually expect it to continue to increase as the year progresses? Thank you.
Maria Henry: Sure, Olivia, I’ll start and then Mike can jump in. In terms of our advertising spend, on the P&L it was up in the first quarter and we have an expectation that for the full year it will also be up year-on-year. And that is encouraging because not only is it up but as we shift more of it to digital and as we continue our work to drive down the non-working portion of the advertising expense, the actual consumer impressions that we’re getting from that spend is up as well. And so good support behind the brands and the innovations. Mike, I don’t know if you want to talk more about what we’re doing in advertising.
Michael Hsu: Yes. Olivia, I think maybe a couple of things which is one, overall I’d say with a couple of key brands most notably in North American adult care and in diapers I think increased levels of brand investment overall and brand support. And then most specifically it is weighted to digital. And so some of the stuff that we’re seeing and the reasons why we’re growing faster perhaps in non-measured channels is the strong digital investments that we’re making in search and that’s paying strong returns for us and doing very well. We also have pretty good content now that we feel good about in terms of the messaging we’re putting out there and we’re rolling out some new advertising on Cottonelle which I think is being right now very, very effective. So overall I think we feel good about kind of where we are. We know we can do better still, but looking forward to the progress.
Olivia Tong: And should we expect this to increase this year as you talked about the upcoming innovation both in adult care and Huggies?
Maria Henry: The benefit of innovations this year, is that the question? You’re kind of breaking up.
Olivia Tong: I’m sorry. In terms of the increase in advertising, should we expect that to – I’m sorry, within advertising, are we expecting to increase advertising as the year progresses especially as you fund or as you support innovation that’s coming?
Maria Henry: Okay. As you know we only disclose the advertising number I think once a year and I don’t want to get into how the quarters are going to flow. So suffice it to say that it was up on the P&L in the first quarter and we would expect for the whole year that it will be up also.
Olivia Tong: Got it. And then just lastly on pricing, can you talk about how much of the pricing benefit you would attribute to just straight list price increases related to commodities versus some of the things that you’re working on with respect to trade efficiency and innovation?
Michael Hsu: Yes, I think that’s an overall mix. I think in Q1 maybe – and I don’t have an exact number but I would say the vast majority of it is some form of straight pricing whether it’s list or pack count changes. But I think those are probably the big buckets for us right now. We’re making progress especially in North America on trade efficiency and we have some programs there. I don’t know how much would show up in the P&L right now, but I know it’s a big priority for the organization and they’re doing a good job with it.
Olivia Tong: Great. Thank you.
Michael Hsu: Thanks, Olivia.
Operator: Thank you. Our next question comes from Andrea Teixeira with JPMorgan.
Michael Hsu: Hi, Andrea.
Andrea Teixeira: Hi. Good morning. So can you comment a little bit on the 15% organic growth in Brazil? I appreciate the detail. And it was driven by pricing and I believe you were lapping this price increase in the third quarter, just want to check that. So one of these competitors are now finally following or they are retrenching given the commodity pressures are finally easing now? And also a follow-up question for Maria on the cash flow. I appreciate the detail on the cash conversion side and the working capital. I was wondering if she can explain a little bit more of the CapEx and the timing aspects of it. Thank you.
Michael Hsu: Okay, Andrea, maybe I’ll start with Brazil. First of all, the team’s doing a great job down there and we’re experiencing strong growth in what I would characterize is a very challenging consumer environment. Our Personal Care organic volume was up as we said about 15%. Net selling prices were up double digits and volume was up low single digits, Andrea. So I think we’re not defying the laws of gravity there or elasticity there. I think the market pricing overall is generally moving in the right direction. But I would say there’s a handful of local competitors that are lagging a little bit. The better than expected volume performance, however, is really a result of maybe great commercial execution which is strong sales execution, a great brand value proposition and good advertising I would say overall working together and that’s what the team is doing. It’s why building out commercial capability in our K-C Strategy 2022 is so important. There’s a number of markets that look like they’re defying the laws of elasticity but really it comes down to strong commercial execution and this was one of them.
Andrea Teixeira: I appreciate it.
Maria Henry: Go ahead, Andrea.
Andrea Teixeira: Thank you, Maria. So I appreciate Mike when you said – in the initial comments I think you said sluggish, so I wasn’t sure if it was negative. So you’re saying volumes are still up in the low single digits in Brazil which is encouraging. Okay, perfect.
Michael Hsu: Andrea, the volume was down low single digit.
Andrea Teixeira: Down, okay.
Michael Hsu: Pricing was up double digits, pretty strong double digits and volume was down low single digits, but I would say way better than what the elasticity model would have said.
Andrea Teixeira: Okay, perfect. Thank you.
Maria Henry: And then on CapEx at 316 million in the quarter, that’s in line with our expectations and it reflects the supply chain portion of the restructuring program really kicking into gear this year. So we continue to expect 1.1 billion to 1.3 billion on CapEx for the year and you started seeing some of that come through in the first quarter.
Andrea Teixeira: Thank you, Maria.
Maria Henry: Thank you.
Michael Hsu: Thanks, Andrea.
Operator: Thank you. Our next question comes from Steve Powers with Deutsche Bank.
Steve Powers: Thanks. I guess I wanted to start on U.S. Personal Care where the strength was really notable relative to at least what we’ve seen in scan data. So just maybe some comments on that and whether that’s strengthen on track channels or whether that’s an element of shipments running ahead of consumption, just how you saw the growth this quarter and how we should kind of think about that momentum going forward?
Michael Hsu: Steve, thanks for that question. Definitely I think strengthen in non-measured channels, overall the mega category was up about 2 points in the quarter. Our share overall as Paul mentioned was about flat. Huggies was up low single digits and I think that’s really been driven by strong product performance and as we were just talking about increased brand investment and brand support. Growth was especially strong in non-measured channels and that for us is club and primarily e-comm and club. And it’s worth mentioning we got a very strong digital program in e-commerce across all our customers and I think that’s really working a good effect right now. So we’re encouraged by the progress in Personal Care. Pull-Ups is up high single digits as well. Our adult care business is up high single digits and so it’s moving in the right direction.
Steve Powers: Okay, great. And then I guess my broader question was just to get you maybe Mike to expand a little bit more on how you’re thinking about the medium term, the duration of K-C Strategy 2022, because building out this quarter as you say it sounds like – it looks like you’re ahead of schedule. The tone today is deservedly very confident as a result. But on the other hand you called out you still have a lot of improvement initiatives underway, macro competitive conditions remain hard to call and stepping back year-over-year operating profits in dollar terms have yet to inflect positive. They should I agree as you move forward, but it just seems like the pricing which was great this quarter is tied to FX and cost inflation and if those come in lighter. How do you assess your ability to hold on to today’s pricing and bank some of the productivity that you have underway in order to flow through better dollar-based bottom line results versus having to reinvest to sustain volume share versus competition? And I’m not really so focused on next quarter, even this year but thinking really about what the evergreen model is over the course of that medium-term strategy?
Michael Hsu: I think Steve as I mentioned when we were together, I’m really excited about the growth opportunities the company has ahead of it. And really for me the three big strategies of what I call elevate the core which is premiumizing our categories with value-added innovation or capturing the growth or leading the development of developing and emerging markets and then building this consumer digital relationship I think are really kind of robust growth opportunities that are really, really good for us. I think to accelerate our progress we’ve outlined a handful of capability areas that have to do with innovation or doing a better job on innovation, sales execution, our digital execution and also revenue growth management or pricing management. So those are four big planks. I would say one of the reasons why we’re encouraged with our progress in Q1 is we’re starting to build and improving in these four areas that I just outlined on the commercial capability and it’s starting to play through. I mentioned Brazil where our 15% organic is driven by pricing but it’s also driven by strong execution. We’re seeing the same across ASEAN where we’ve got good double digit growth, price increasing but volume also going up. Central and Eastern Europe is doing the same thing. So I think overall it’s putting all these pieces together for us which is the core of the strategy and we’re going to stay focused on delivering consistent growth.
Steve Powers: Okay. Thank you very much.
Operator: Thank you. Our next question comes from Kevin Grundy with Jefferies.
Herb Eppich: Hi. Good morning, guys. This is Herb Eppich on for Kevin. One quick one just on restructuring, so specifically 60 million in savings for the quarter and your outlook for 100 million to 125 million for the year. So savings has been building sequentially for the last couple of quarters but outlook assumes that this should slow. So is there anything we should be aware of, maybe any phasing or shifting into the first quarter? Any commentary there would be helpful. Thank you.
Maria Henry: Yes, we had 60 million in the quarter which is a good savings number for us. But you’ll recall that we had no savings in the first quarter of last year as the restructuring program was announced in January of last year and then it took some time to ramp up. If you look at the 60 in relationship to the expectation for the year of 100 million to 125 million, when we start to get into the second quarter we will be lapping quarters where we were building savings through 2018. And so that’s really the driver.
Herb Eppich: Okay. That’s all. Thank you.
Michael Hsu: Thank you.
Paul Alexander: Okay. Thanks, Herb.
Operator: Thank you. Our next question comes from Steve Strycula with UBS.
Steve Strycula: Hi. Good morning and congratulations on a good quarter.
Michael Hsu: Hi, Steve.
Steve Strycula: So I had a question, the last quarter you mentioned that there might be some lumpiness on the quarter-to-quarter trend and first quarter clearly came in well ahead of what a lot of the investment community was expecting. So is there any lumpiness you would be mindful of for like Q2 or like the balance of the year in terms of sell-in versus sell-out particularly as you start lapping some of the price increases that you phased in towards end of last year?
Maria Henry: Yes, I’ll make a comment and then Mike can jump in. We don’t give quarterly guidance but a few things that I’d say keep in mind. We have some benefits in the first quarter with the Lunar New Year happening and we typically have a strong first quarter around that. As we move into the second quarter, Kleenex will be kind of out of season in terms of cold and flu. And then the final thing as Mike mentioned earlier, the pricing just went in on diapers here in the first quarter. So I think we haven’t seen how all of this is going to play out in our numbers and we commented that we expect the second half to be somewhat in relationship to the first half. So that kind of gives you a lot of different things to think about as you think about how you’re going to layout your expectations on the quarters.
Steve Strycula: Okay, great. Mike a follow up for you. How should we think about – it seems like volume trends were generally better than what you were expecting. Did you guys have success in winning some planograms that were some key callouts you’d want to shed light on? And then what key emerging markets if any would you say were sequentially the end market demand just improved quarter-on-quarter? Thank you.
Michael Hsu: Steve, I think maybe the second part first. I would say broadly across most markets demand improved versus where it was maybe last quarter. And so if you go through the markets, CE was up about strong double digits for us; ASEAN was up double digits; obviously Brazil we already mentioned; Argentina obviously a big number; India were up double digits as well; China fem care up another strong robust double digit quarter; China diapers obviously still down but I think improving sequentially behind our new product improvements. So I think across the broad array of markets improving. And I think in North America again improved commercial execution. There probably are some distribution changes here and there and I think we made some progress in some areas. But the other part of it is better product performance. And we have made improvements broadly across diapers, across adult care both on Depend and Poise. Poise is just shipping this quarter. Our Cottonelle bath tissue, Scott Comfort Plus is all gaining increased consumer traction. So we’re feeling good about kind of the innovation piece of the puzzle.
Steve Strycula: All right. Thank you.
Operator: Thank you. Our next question comes from Jonathan Feeney with Consumer Edge Research.
Jonathan Feeney: Good morning. Thanks very much.
Michael Hsu: Hi, Jonathan.
Jonathan Feeney: You had a little drop in developing and emerging market volume in both Personal Care and Tissue, just the volume piece and I know there was a ton of pricing in there driven by commodities. But can you update us on the market level volume growth roughly in your developing and emerging market portfolio overall and was that a gain – a loss of volume share and who would pick up that volume share? I’m looking at the demographics. It would seem to me there would be ongoing volume growth in those markets. Thanks.
Paul Alexander: Yes, Jonathan, maybe I’ll start just to put the volume decline and a little bit of context and then Mike can give obviously more color. If you looked at across our total D&E line up and set aside China and Argentina, our volumes would have been up a little bit in the quarter which given the inflationary pricing environment we are all facing and consumers are facing, that was a pretty solid outcome.
Michael Hsu: Yes, so overall I think we feel good about where the markets are heading. We feel good about our commercial execution broadly across D&E and I think most of the volume declines were related to price changes.
Jonathan Feeney: So did others not – am I right that there’s a little bit of share loss there and did others not take that pricing? I’m just curious like what the competitive dynamics are in the wake of it.
Michael Hsu: Yes, I think it’s market by market but I would say as a general rule of thumb I would say the major branded competitors moved in line with us or some ahead of us and then you have some stickiness in local competitors or some of the smaller players. And so we’re keeping a sharp eye on that.
Jonathan Feeney: Very helpful. Thank you very much.
Michael Hsu: Okay.
Paul Alexander: Thanks, Jonathan.
Operator: Thank you. Our next question comes from Ali Dibadj with Bernstein.
Michael Hsu: Hi, Ali.
Ali Dibadj: Hi. Thanks for the follow up. I just want to touch base on China in a little bit more detail. I know you put it in the prepared remarks and the PowerPoint, but can you give us just some more color about what’s going on there from a pricing perspective? We clearly see the volumes as well. But that’s been a hotspot recently. Just want to get an update please. Thank you.
Michael Hsu: Yes. Thanks, Ali. I would say in diapers pricing is kind of about where it was last quarter. So overall for us our premium Huggies is gaining traction behind the innovation that we talked about last quarter and our fem care continues the really strong momentum. We’re really not satisfied with our performance yet but we’re making progress. Our Personal Care organic sales were down high single digit which is improvement versus the prior quarter. The competitive activity on price remains elevated. It remains kind of where pricing has been. But I think specifically in our team’s view and my view is the consumers in that market are still looking for better solutions and our improved tier 5 and 6 diapers are gaining traction. They were up significantly in volume and up in value as well. And we’ll be rolling out that technology that we put into that across other tiers and other channels this year. So we’re building for the long term and I’m really feeling good about what the team is doing there.
Ali Dibadj: Thank you. But what do you think the competitive situation is looking like whether it be from the regional players there, Japanese in particular or from P&G?
Michael Hsu: Well, we’re still seeing pricing suppressed and then we are getting wind of some additional product introductions. We don’t have visibility on everything yet. But obviously I think products and technology still matters a lot in China and that’s what the consumers are looking for and that’s why you’re seeing the response in this in the premium tiers.
Ali Dibadj: Okay. Thanks very much.
Michael Hsu: Thanks, Ali.
Operator: Thank you. Our next question comes from Caroline Levy with Macquarie.
Caroline Levy: Thank you so much. A couple of things. How important is the roll price of oil which is up so much to the outlook for polymers?
Maria Henry: Yes, the price on oil has gone up and so when we think about our outlook on commodities, overall as I went through in the beginning of the call, 10 of our puts and takes on the fiber-based commodities and other material commodities, the oil prices definitely have us watching the market. The relationship between oil prices and the exact commodities that we buy has not been as correlated as of late as it had been historically, but it certainly does have us remaining cautious on the full year outlook for the oil-based derivative materials that we’re using. So it’s kind of mixed with the sequential improvements that we’re seeing in some areas, but with the oil run up we’re just keeping an eye on it.
Caroline Levy: Right. Thank you, Maria. And could you elaborate a little bit on the outlook for transport?
Maria Henry: Sure. Distribution costs were up. They continue to be inflationary for us. They were higher a year ago and distribution costs are a meaningful portion of our overall cost of sales and the outlook for the year assumes that we will have distribution inflation for the full year. But it hasn’t changed from what our position was when we talked to you in January. And I should note the increases on distribution costs are global.
Michael Hsu: Yes. And the other note I’ll make, Caroline, is that last quarter or at the end of fourth quarter of '18, we did have some additional expenses because of some distribution challenges. I think our team is making progress there and we are improving.
Caroline Levy: That’s great. Thank you. If I might, just a couple more. Could you comment on Mexico? It doesn’t look like things have improved there in the way they have in Brazil, but maybe I’m missing something. And then the last one would be to discuss your overall – how you think about development of private label, just whether you see it as a significant longer-term or medium-term threat and whether you would consider participating in it in any way?
Michael Hsu: Maybe the last one first, Caroline. We do do a bit of private label right now. It’s not a strategic part of our business but it is in certain instances we will produce some private label. We generally don’t have the capacity of taking on as a big strategic bet especially given the amounts of capital we got to put in generally I think is not necessarily a great return on our capital to invest in on that type of capacity. However, I will say we’re moderating it closely because especially in North America right now in bath tissue I’d note that private label is up a bit and pricing has not moved upwards yet on a lot of private label, so we’re keeping a sharp eye on that. We’ll be able to adjust our plans if necessary.
Maria Henry: And then on Mexico we’re not going to comment because they haven’t released yet. But what I would say is if you look at equity company contributions it’s relatively flat year-on-year.
Caroline Levy: Yes, I saw that. Then if I might just sneak in one more on China. What percentage of your business there is premium, because I thought you largely only played premium but your total sales are still down?
Michael Hsu: Yes, the most two premium tiers for us, Caroline, are a little bit more than half our total Huggies diaper business.
Caroline Levy: Thanks so much.
Michael Hsu: Okay. Thanks, Caroline.
Maria Henry: Thank you.
Operator: Thank you. At this time, we have no further questioners in the queue.
Michael Hsu: All right. Well, we appreciate everyone’s questions today and we will speak with you next quarter. Thank you very much and have a great day. Bye.
Operator: Ladies and gentlemen, that concludes this morning’s presentation. You may disconnect your phone lines and thank you for joining us this morning.